Operator: Good morning. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Nokia second quarter earnings conference call. [Operator Instructions] I would now like to turn the conference over to Matt Shimao, Head of Investor Relations. Sir, you may begin.
Matt Shimao: Ladies and gentlemen, welcome to Nokia's Second Quarter 2012 Conference Call. I am Matt Shimao, Head of Nokia Investor Relations. Stephen Elop, President and CEO of Nokia; and Timo Ihamuotila, CFO of Nokia, are here in Espoo with me today. During this call, we'll be making forward-looking statements regarding the future business and financial performance of Nokia and its industry. These statements are predictions that involve risk and uncertainties. Actual results may therefore differ materially from the results we currently expect. Factors that could cause such differences can be both external such as general, economic and industry conditions, as well as internal operating factors. We have identified these in more detail on Pages 13 through 47 of our 2011 20-F and in our quarterly results press release issued today. Please note that our quarterly results press release, the complete interim report with tables and the presentation on our website include non-IFRS results information in addition to the reported results information. Our complete interim report with tables available on our website includes a detailed explanation of the content of the non-IFRS information and a reconciliation between the non-IFRS and the reported information. With that, Stephen, over to you.
Stephen A. Elop: Thank you, Matt, and thank you for joining us for the Q2 2012 earnings call. First and foremost, we are taking actions to manage through this transition period. While Q2 was a difficult quarter, we are demonstrating our determination to carefully manage our financial resources, improve our operating model and improve our competitiveness. This afternoon, I'll provide perspective on each of these 3 topics. First, regarding the management of our cash situation, we held our net cash resources at a steady level after adjusting for the annual dividend payment to our shareholders. We ended the quarter with net cash and other liquid assets at EUR 4.2 billion, down from EUR 4.9 billion at the end of Q1 and up from EUR 3.9 billion at the end of Q2 2011. This follows a EUR 742 million annual dividend payment to shareholders. Our gross cash was EUR 9.4 billion at the end of Q2, down from EUR 9.8 billion at the end of Q1 and up from the end of Q2 2011. Thus, both gross and net cash were higher year-on-year. As demonstrated this quarter, we are focusing on ensuring that we continue to have the fiscal strength to manage through our transition. We continue to look at opportunities to sell noncore assets such as real estate properties. We plan to prudently take advantage of the strength of our patent portfolio, and we are focusing heavily on the management of our net working capital in support of this effort. That being said, a critical priority is to return our Devices & Services business to positive operating cash flow as quickly as possible. In support of this, in June, we announced a new restructuring program through which we plan to reduce our underlying Devices & Services operating expenditures to an annualized run rate of approximately EUR 3 billion by the end of 2013. We are executing with urgency on this program. As evidence of our progress, last week, the management of Nokia GmbH in Germany and the employee representatives of the Nokia site in Ulm, Germany agreed on the closure of the Nokia R&D site in Ulm by December 31, 2012. Negotiations about the planned closure of our factory in Salo, Finland are proceeding in a collaborative spirit as well. In many other locations, we are working with employee representatives to bring clarity to the situation for both employees and Nokia as quickly as possible. Shifting to our areas of focus for long-term competitiveness. During the second quarter, we demonstrated stability in our feature phone business. Our Mobile Phones Q2 volumes of more than 73 million were up quarter-on-quarter. During the quarter, we introduced new innovations to our feature phones such as Mail for Exchange, low-end full touch devices and very affordable multi-SIM devices. The feature phone market remains an attractive market, and we plan to improve our competitiveness and profitability in this space by further developing Series 40 and Series 30 devices. In our Smart Devices business, we continue to see increased consumer support for Lumia and the Windows Phone ecosystem. Last week, a Nielsen survey confirmed how satisfied Nokia Lumia 900 owners in the U.S. are with their devices. The Lumia 900 earned a Net Promoter Score of 63 with 96% of owners extremely or somewhat satisfied and 95% willing to recommend the device to others. Through all of this, we are learning about new feature requirements that we plan to bring the market to improve our global consumer satisfaction. These results are no doubt enhanced by the progress that developers are making with applications. We were pleased to announce that the Windows Phone ecosystem has exceeded 100,000 applications. Most importantly, we are seeing progress in our Lumia numbers. We sold 4 million Lumia devices in Q2, which is up from about 2 million in Q1, with growth driven by the expanded availability of the Lumia 900 and the Lumia 610 across markets. As we look ahead, we expect the launch of Windows 8 for PCs and tablets, plus the launch of Windows Phone 8, to be a catalyst for Lumia. Windows Phone 8 will share the same Metro user experience and the core operating system technologies as Windows 8, providing a similar platform for developer applications across devices. As Microsoft shared, the look and feel of the Lumia interface is to become familiar to millions of people through PCs, tablets and Xbox consoles. Plus, we anticipate that Microsoft will launch a bold and aggressive marketing campaign for Windows 8, which we believe will have a halo effect for Lumia. And as the lead mobile partner for Microsoft, we plan to deliver competitive smartphones with Windows Phone. We intend to broaden the price point range of Lumia devices to price points both higher for better gross margins and lower for volume. Additionally, we are investing in new materials, new technologies and location-based services for a great consumer experience. For existing Lumia devices, we have already started the pattern of updates including WiFi tethering, flip to silence, media content streaming and exclusive applications like some from Zynga. As we anticipate the upcoming release of Windows Phone 8, we have worked with Microsoft on a release for existing devices. We are planning for all 4 Lumia devices to receive an update with some Windows Phone 8 features like the new start screen, like core camera experiences and updates to Nokia Drive, Nokia Transport and Nokia Music. This is one example of our continued commitment to enhance the existing Lumia products over time even after Windows Phone 8 ships. However, to prepare developers for the new Windows Phone platform, Microsoft announced the Windows Phone 8 platform in June. As a result, we anticipate some impact to our Lumia business in Q3, although Lumia activations have been flat to up in the weeks following the announcement of Windows Phone 8. Thus, leading up to the introduction of the Windows Phone 8 products, we plan to introduce tactical measures and promotional campaigns. As we do throughout any product life cycle, we plan to pursue traditional marketing and promotional activities to encourage the adoption of Lumia devices. We are committed to Windows Phone as our primary smartphone strategy. We have learned that it takes tremendous amount of work to break through as the third ecosystem, and we are viewing the launch of Windows 8 and Windows Phone 8 as an important moment in this journey. Shifting now to Location & Commerce. We are investing in this business because we believe the mobile device will become the nucleus for gathering real-time data through sensors. Nokia purchased NAVTEQ, which has the world's biggest map, because of the opportunity for location-based services on mobile devices. In light of our new focused strategy, we believe we can take even more advantage of this asset. Today, 4 out of 5 cars with on-dashboard navigation use Nokia technology. Relative to this, our year-on-year increase in Location & Commerce net sales in the second quarter was helped by higher sales of map licenses to auto industry customers. While our business with auto industry customers continued to grow, we also made good progress establishing our location-based platform with businesses like Yahoo!, Flickr and Bing. And we plan to announce new partners in the coming weeks and months. But we are not stopping there. Our aim is to become the where company. Just as Google redefined the what with search and Facebook redefined the who with social media, Nokia intends to redefine the where with mapping and location-based services. A broadening array of devices and experiences could capture a location, orientation, speed and even pulse rate while understanding our social media preferences, our likes, our dislikes and our passions. With our NAVTEQ asset and focused execution, we believe we can be a leader in this next generation of experiences. I wanted to discuss the progress as well underway at Nokia Siemens Networks. Through strong execution of the focused strategy, we are pleased that Nokia Siemens Network returned to underlying operating profitability in Q2. NSN has now delivered positive net cash from operating activities for 3 quarters in a row. And in Q2, NSN's net cash balance increased even though approximately EUR 225 million of cash was dispersed related to restructuring. Furthermore, we are now guiding for improving non-IFRS operating margins in the seasonally weak third quarter of 2012. Now while Timo will go into more details around our financial performance, I thought it was important to comment on our guidance. For Q3, with limited near-term visibility, we are providing guidance that has a conservatively broad range. We believe there are several drivers that could move us into the upper part of the expected range. As noted in our press release today, these include: continued improvements in Mobile Phones including strong sales of our Asha full touch products, which were just introduced to market at the end of Q2; lesser impact on Lumia sales during the transition to Windows Phone 8, which would lead to more normal demand for products; and better-than-expected progress against our structural cost savings actions. We could move into the lower part of the range if there would be a larger-than-expected negative impact on Lumia sales from product transitions. That could in turn result in additional allowances in Q3. Symbian and mobile phones also could have an impact. As we head into the transition to Windows Phone 8, I wanted to provide some sense of the near-term metrics that will be the critical measures of our progress. I believe they are: first, cash to ensure that we have the resources to manage through the transition; second, Lumia device volumes as a proxy for the progress we're making with new devices; third, devices gross margin as a demonstration of competitiveness; and fourth, continued progress against our restructuring, as measured by decreasing OpEx. These are the areas in which we are focused in the coming quarters. In summary, we are still in the heart of our transition, but we recognize our challenges. We have a focused strategy. We're not afraid to make hard decisions, and we're grateful to our employees for their commitment to our future success. As Nokia has done in the past, we are making the changes allowing us to emerge as a more agile and focused competitor to create value for our shareholders. I'll now turn it over to Timo.
Timo Ihamuotila: Thank you, Stephen. Clearly, our financial performance at the moment is not acceptable, so I will start by going through the key actions from a financial management perspective. First, we are running the company for cash. And as Stephen said, our priority is to achieve sustainable underlying profitability as soon as possible. Second, in our Devices & Services business, we have started a rigorous turnaround program on all areas of profit and loss and balance sheet. This includes top line, cost of goods sold, operating expenses, cash flow and noncore assets. And third, in our core businesses, we continue to make focused investments in growth opportunities. Today I will first take you through the factors impacting our cash, then discuss the allowances we recognized in Devices & Services related to inventory and taxes. Following that, I will provide an overview of the operational performance of our business in Q2. Our strong focus on cash continues, and we ended the second quarter with gross cash of EUR 9.4 billion and net cash of EUR 4.2 billion. We continue to have a clean balance sheet, conservative capital structure and strong liquidity profile. Also, I wanted to highlight that we are providing more details on Nokia's debt instruments with a new table in our press release issued today, as well as on our website in the Investor Relations section. In Q2, net cash and other liquid assets decreased by approximately EUR 675 million sequentially, following a EUR 742 million annual dividend payment to shareholders. In addition, the major items impacting our cash balance negatively during the quarter were cash outflows related to Nokia Group level tax and financial income and expense of EUR 230 million; Nokia Group level net losses adjusted for noncash items of EUR 173 million; and Nokia Group level capital expenses of EUR 150 million. The major item impacting our cash positively during the quarter was Nokia Group level working capital improvements of EUR 505 million. Looking at the working capital dynamics in more detail, our Devices & Services business contributed approximately EUR 470 million positive. Our NSN business contributed approximately EUR 135 million positive, and Location & Commerce contributed approximately EUR 100 million negative. Within Devices & Services, the working capital improvement was primarily due to the IPR prepayments of EUR 400 million. In addition, receivables and inventory decreased, partially offset by a decrease in payables and restructuring-related cash outflows. NSN's working capital improvement was primarily due to increase in payables and decrease in receivables, partially offset by restructuring-related cash outflows. Within Location & Commerce, the negative cash charge in working -- negative change in working capital was primarily due to decrease in payables. Then turning to the allowances we recognized in Q2. In Q2, we recognized approximately EUR 220 million of allowances in Smart Devices related to excess component inventory, future purchase commitments and an inventory revaluation. These allowances relate to our Smart Devices product, that is, Lumia, Symbian as well as MeeGo. Because our internal sales outlook is now lower, we believe we will not be able to use some of the components which we already have on our books, as well as components we have committed to purchase. In addition, we have reduced the carrying value of some of our inventory. Going forward, increases or decreases to Smart Devices allowances may be required depending on factors such as future sales performance. Also in the second quarter 2012, we recognized EUR 800 million in allowances related to Devices & Services' Finnish deferred tax assets in accordance with accounting standards as detailed in our press release. It is important to note that regardless of the accounting treatment for reporting purposes, the majority of the Devices & Services' Finnish deferred tax assets are indefinite in nature and available against the potential future Finnish tax liabilities. Going forward, until a pattern of profitability is reestablished, Nokia expects to record quarterly tax expenses of approximately EUR 50 million related to its Devices & Services business and approximately EUR 50 million related to its NSN business. Nokia expects to continue to record taxes related to its Location & Commerce business at a 26% rate. Now on to a review of our operational performance in Q2. In Q2, Devices & Services net sales of EUR 4 billion were down 5% sequentially and 26% year-over-year. Our Smart Devices net sales decreased 10% sequentially due to lower Symbian net sales, partially offset by higher Lumia net sales. In Smart Devices, we experienced sequentially lower unit volumes, partially offset by higher ASPs. Looking at our sequential growth in Lumia unit volumes in more detail. We saw a sequential increase in all regions, particularly China and Latin America. From a product level view, we saw growth in the Nokia Lumia 900 and 610 unit volumes as we ramped up shipments, partially offset by declines in Nokia Lumia 800 and 710 unit volumes. In Mobile Phones, net sales decreased 1% sequentially due to lower ASPs, partially offset by higher volumes. Devices & Services non-IFRS gross margin in Q2 was 18.1%, down 630 basis points sequentially. The decrease was primarily due to recognition of approximately EUR 220 million of inventory-related allowances in Smart Devices, which negatively affected our Devices & Services gross margin by approximately 550 basis points. In Q2, Devices & Services overall non-IFRS gross margin was positively impacted by 40 basis points related to foreign currency hedging. At the present time, we expect 150 basis points positive impact to Q3 gross margins related to hedging activities assuming static foreign currency rates at the end of Q2 levels, but this could change due to inter-quarter fluctuation in rates. In Q2, on a sequential basis, Smart Devices gross margin decreased from 15.6% to 1.7%, primarily due to the inventory-related allowances which negatively affected Smart Devices gross margin by approximately 1,430 basis points. Looking at our underlying Smart Devices gross margin performance on a sequential basis, excluding the EUR 220 million inventory-related allowances, Lumia and Symbian gross margins were approximately at the same level. Mobile Phones gross margin decreased sequentially from 25.9% to 24.1%. Then moving on to OpEx. In Q2, Devices & Services non-IFRS OpEx was EUR 1.1 billion, down 3% on a sequential basis and 14% year-over-year, reflecting OpEx control combined with structural actions we have taken. We continue to make good progress on our cost reduction program. Devices & Services non-IFRS operating margin was negative 9.1% in Q2, down sequentially from a negative 3% in Q1. The decrease was due to the inventory-related allowances, which resulted in lower gross margin, as well as negative operating leverage. And now on to Location & Commerce. Reported net sales in Q2 were EUR 283 million, up 2 percentage sequentially and up 4 percentage year-over-year. On a sequential basis, the increase in Location & Commerce net sales was primarily due to higher sales of map content licenses to vehicle customers. Initial map license sales increased sequentially, as well as update map license sales. This was partially offset by a negative sales adjustment related to historical license fees in the normal course of business for a particular customer. In Q2, Location & Commerce non-IFRS gross margin was 77.4%, approximately flat sequentially. This was primarily due to an improved revenue mix from higher margin vehicle map license sales, offset by the negative sales adjustment I just mentioned. Location & Commerce non-IFRS operating margin was 14.5% in Q2, up 160 basis points sequentially, primarily due to higher revenues. Then on to Nokia Siemens Networks. As I said last quarter, NSN is executing solidly on its new focused strategy and its restructuring program. We believe NSN's solid execution is now starting to become visible in its financials -- financial results with clear operating margin improvements in the second quarter 2012. In Q2, NSN's reported net sales were EUR 3.3 billion, a 13% sequential increase, primarily due to seasonality, partially offset by NSN's strategy to focus on mobile broadband, customer experience management and related services. Business areas not consistent with the new strategy are in the process of being divested or managed for value. Services represented slightly over 50% of NSN's Q2 net sales. NSN's non-IFRS gross margin in Q2 was 26.6%, flat sequentially. NSN is focused on structurally improving the overall gross margin profile of their portfolio of contracts with a comprehensive range of initiatives including improved pricing processes and focus on priority markets including Japan, Korea and North America. In Q2, NSN's non-IFRS operating margin was positive 0.8%, up 580 basis points sequentially, reflecting the higher net sales and lower OpEx. NSN continued to make good progress under their restructuring program in Q2, resulting in significant structural savings in COGS and OpEx. By the end of Q2, NSN reduced its number of employees by approximately 10,000 compared to the end of 2011. Cash preservation is a clear priority at NSN, and the company intends to be self-funding in all aspects of its operations. NSN's restructuring program, combined with the company's focus on improving its financial performance, is designed to enable the company to end 2012 with higher net cash than at the end of 2011. We expect this to be supported by NSN's deal momentum with recent large wins in priority markets including Japan, North America and Korea. On the last earnings call, we mentioned the SOFTBANK deal in Japan, and we also signed a deal with T-Mobile in the U.S. during Q2. Overall, on LTE, NSN has won a market-leading 62 commercial LTE deals. At the end of Q2, NSN's contribution to Nokia's gross cash was approximately EUR 1.8 billion, and NSN's contribution to Nokia's net cash was approximately EUR 380 million. NSN's net cash increased approximately EUR 120 million sequentially even after paying out approximately EUR 225 million related to restructuring. In summary, we are clearly seeing some encouraging signs that NSN is on track to strengthen its position as an industry leader and become a more independent entity. Then turning back to Nokia as a whole. In Q2, financial income and expenses net was negative EUR 48 million. This was lower than expected, primarily driven by partial reversal of Q1 foreign exchange losses. Nokia taxes continued to be adversely affected by Nokia Siemens Networks taxes as no tax benefits are recognized for certain Nokia Siemens Networks deferred tax items. In Q2 of 2012, this impact was smaller due to improved profitability and favorable profit mix in Nokia Siemens Networks taxes, offset by unfavorable profit mix in Devices & Services taxes. If Nokia's earlier estimate in long-term tax rate of 26 had been -- 36% had been applied, non-IFRS Nokia EPS would have been approximately EUR 0.006 higher in Q2 2012. As a reminder, going forward, on a non-IFRS basis, we expect to record quarterly tax expense of approximately EUR 50 million related to our Devices & Services business and approximately EUR 50 million related to our Nokia Siemens Networks business. We expect to continue to record taxes related to our Location & Commerce business at a 26% rate. Now turning to our guidance. In the press release, you will find the details of our guidance. But I just wanted to highlight that we are operating with limited near-term visibility in Devices & Services and NSN. And with that, I'll hand over to Matt for Q&A.
Matt Shimao: Thank you, Timo. [Operator Instructions] Operator, please go ahead.
Operator: [Operator Instructions] Our first question will come from the line of Alexander Peterc with Exane BNP Paribas.
Alexander Peterc - Exane BNP Paribas, Research Division: I'd like to clarify first on NSN. How sustainable do you think is the positive working capital development is real at NSN? And secondly, just on your margin guidance in D&S, the minus 9%, does that include any further write-downs? Or is that on a pure operating loss basis?
Timo Ihamuotila: Okay. Let me start on the NSN. Timo here. So first of all, on the net working capital development, as we said, NSN has now had positive development for 3 consecutive quarters. And clearly, it's fair to say that going forward, it will become more difficult to extract cash from net working capital, but there is still some work that can be done there. So we are not finished. So I think there is some positive we can do there. And then regarding the non-IFRS operating margin guidance in Devices & Services, so I think Stephen actually went through the key dynamics there. And I think the question was, was there any allowances planned in there? No, we have built a large range of scenarios given the fact that we are going through a transition quarter. And as was said, if we have better than currently expected net sales on our Lumia devices during the transition aided by some Mobile Phones, we could see a better performance. On the other hand, if we would see worse-than-expected sales on the Lumia devices going through the transition quarter, we could then all see -- we could then also see some allowances which we also mentioned in our press release.
Operator: The next question will come from the line of Simon Schafer with Goldman Sachs.
Simon F. Schafer - Goldman Sachs Group Inc., Research Division: I wanted to follow up on the comment of IPR income of EUR 400 million as part of the positive impact from working capital. Perhaps that's a little higher than perhaps the run rate you were talking about before. So maybe some color on how sustainable that sort of high run rate would be on the IPR side, that would be very helpful.
Stephen A. Elop: Thanks for question, Simon. So the EUR 400 million is an example of using the patent portfolio and our relationships prudently to help manage through a period where cash is very important to us. As we go forward, we'll be looking for similar opportunities related to the patent portfolio also related to other things we can do to generate cash and make sure that we continue to have the financial resources necessary. But I wouldn't take the EUR 400 million at the beginning of a specific pattern or so forth. It's something that we have to work on in different ways every quarter. It's not something that sustains just as it stands.
Timo Ihamuotila: Yes. Maybe it would be helpful if I walk through the cash change here just briefly in detail because it's also important to note that besides the EUR 400 million, we actually had negative EUR 360 million related to restructuring in our net working capital. And in that sense, those items fairly well balance out, and we had underlying positive net working capital development as well.
Operator: Your next question will come from the line of Stuart Jeffrey with Nomura.
Stuart Jeffrey - Nomura Securities Co. Ltd., Research Division: Since the Windows Phone 8 announcement, I guess we haven't had a chance to really catch up. Could you just explain or elaborate how you manage Windows Phone 7.8 versus Windows 8, how you avoid confusion for the consumer? And perhaps how do you reward some of the current Lumia purchasers who might end up disappointed even if they're not aware of it yet. At some point down the line, I guess they see Windows Phone 8 upgrades coming through, and they might anticipate they would get that given that's the case in Android and in Apple. And perhaps tied to that, do you end up having 2 separate platforms with Windows Phone 7.8 long term and Windows Phone 8 in order to get to the $100 segments? And does that not become unnecessarily confusing?
Stephen A. Elop: Thanks for the question. I mean, clearly through all of this, the most important thing we can do is to communicate clearly about what consumers are or are not getting at any point. What we're very focused on communicating right now is that the owners of existing Lumia devices, or devices they might buy tomorrow for example, do have upgrades and updates coming, new capabilities, which I outlined in the prepared remarks, including some of the features from Windows Phone 8 like the start screen. And as I also said in the prepared remarks, it is the case that since the Windows Phone 8 announcement, we've seen the activation of products, in other words, people walking out of a store and turning them on, which is a very close indicator of ultimate sell-through, those numbers being stable to up since the announcement. So that's encouraging. But of course, we're going into a quarter where we can't predict how that plays out, thus, the conservatively broad range that we've applied to the guidance. That's clearly a swing factor as we go through this period ahead. It is the case that we have to carefully communicate. One of the things that I think is in important and may have been nuanced in the prepared remarks is the updates and upgrades that we're providing for the existing devices are anticipated not only up until Windows Phone 8 but after Windows Phone 8 ships. And it's clearly the case in our expectation that we will continue to sell a number of the Windows Phone existing devices, the existing Lumia devices, beyond the launch of Windows Phone 8, and in some cases, for quite a while beyond that over time. And yes, you can achieve lower price points. You can do different things with that. Now from a platform perspective, part of what we do to ensure coherence is to, first of all, get the overall user experience very similar, which is why the smart screen capability, the new user experience, will be consistent across them, and also while we're working very closely with developers jointly with Microsoft to ensure that application development flow continues across the platforms. But I do want to challenge the premise of -- or one premise within your question, and that is comparing it to Android and upgradability and so forth. It is the case today, and I don't have today's figures. I'm a couple of weeks out of date on this figure. But the last numbers I saw is that in current selling Android devices, something north of 60% of those devices are shipping with a version of the operating system that are 3 versions older than the current shipping version or older. And those devices, by and large, are not upgradable. They have a very incoherent experience across the application environment in Android. And yet properly positioned, sold into the right markets at the right prices, there's clearly some volume moving there. And so we have to get the right balance here, recognizing that it is not the case that instantaneously, the sales change and so forth. But in fact, there's opportunities to do some interesting things. So we have to manage the cohesion of the platform well. We have to communicate well to our consumers. But the general theory of with varying levels of upgradability, the dynamics change so much, I think -- I don't think that's true. And I think Android's demonstrated that.
Operator: Your next question will come from the line of Sandeep Deshpande with JPMorgan.
Sandeep Deshpande - JP Morgan Chase & Co, Research Division: Could you possibly talk about the products that you plan and when the new products will be launched for this, the low end market, which is where you're seeing some of the problems in China for instance? And how do you see yourself positioning in that market? Is it on price? Or is it the difference with Windows Phone 8 that you're going to position yourself on?
Stephen A. Elop: So thanks. I can't give you comments on specific products and announcement dates and so forth. But we have signaled very clearly that it is our intention to introduce products at lower and lower price points, and the plans are well advanced in that direction. In terms of positioning in those lower-priced markets, it is the case that Windows Phone itself, as well as what we contribute as Nokia, are the principal source of differentiation. We do intend to present them as a different experience that we believe is superior, particularly on some of the topics that are of interest, not only all over the world but very heavily in emerging markets, things like social networking. And that doesn't necessarily mean Facebook in a number of these markets. There's a number of other environments or social environments that people are using. And clearly, we've demonstrated some of that with the early launch products into countries like China, but you'll see a lot more of that going forward. The other thing I'd highlight as well here is on the Mobile Phones side, it is the case that just at the end of Q2, we introduced a new family of Asha full touch products. Too early to call sales results because they're just moving into channels and so forth, just beginning the sales process. But for a number of people in those emerging markets, at the right price point, which may be below what a smartphone is selling for traditionally, they're getting smartphone-like capability including Internet access, social networking access and a variety of other capabilities like our proxy browser, all designed to reduce total cost of ownership for those devices. So it's partially about Lumia devices coming down but also recognizing in what we traditionally call the feature phones space smartphone-like capability being introduced more and more.
Operator: Your next question will come from the line of Andrew Gardiner with Barclays.
Andrew M. Gardiner - Barclays Capital, Research Division: I had a question regarding the gross margin within Smart Devices. Did you suggest, in some of your comments that when we adjust for the EUR 220 million inventory allowance, that between -- or just can you confirm sort of the difference between your Symbian gross margins and your Lumia gross margins around that, so a total 16% number?
Timo Ihamuotila: Yes, that's correct. That's what we said, that if you take, let's call it, take out the EUR 220 million, then the gross margins are, at the moment, approximately the same.
Andrew M. Gardiner - Barclays Capital, Research Division: I was just wondering also, within that inventory write-down, the Lumia, can you give us an idea of how much was Lumia, particularly given that those are, obviously, more recent models?
Timo Ihamuotila: So we listed, I think, this in priority order. And in that sense, there is Lumia. There is also Symbian and MeeGo. And that is listed in the order of priority, as we usually do. So that's as much color as I can give on that one.
Operator: Your next question will come from the line of Tim Long with Bank of Montréal.
Timothy Long - BMO Capital Markets U.S.: Just a question, if I can, talk about the Chinese market. Obviously, it's been a few challenging quarters there. Could you just talk to us a little bit about what's going? Obviously, the locals are getting big with Android. So just 2 things. You mentioned Lumia. How do you think that will do with the new Windows 8? And then secondly, the trends that you're seeing in China, is there a risk that you start to see that in some of your other emerging markets where you're strong given that the Chinese OEMs have ambitions to get outside of China?
Stephen A. Elop: Thanks for your question, Tim. I think the first thing to highlight is China is a unique market. First and foremost, the dynamics around what motivates the operators; what they're being held accountable to by their owners, if you like, or the government; how they measure success and so forth. It's quite a different dynamic in the country. And that, as we've talked about a couple of times in previous calls, is -- leads to circumstances where lower-priced devices or low-end Android devices with special subsidy schemes with the operators have been able to gain a lot of momentum. And that was at a time where we were not well positioned in terms of lower-priced devices and offers that we could bring to those same operators. Now we are pleased with the fact that we established, for the first time, a subsidized model with -- or a subsidized relationship in China around the Lumia 610. So that's a first positive indicator. But we have more work to do to introduce lower-priced devices and to be more aggressive in that space. So I look at that as a period of transition but not one that excludes us or fundamentally shuts us out or causes a problem long term. We absolutely can compete and differentiate within that market.
Operator: Your next question will come from the line of Kulbinder Garcha with Crédit Suisse.
Kulbinder Garcha - Crédit Suisse AG, Research Division: I just have a question for Stephen, I guess. If the gross margin in Smart Devices is 16% today and your Lumia and Symbian is somewhere in the ballpark of that, what is the plan? I guess 16% gross margin isn't possibly the gross margin in which Smart Devices could make money going forward under the operating level sustainably. Correct me if I'm wrong on that if you see it differently. And you're you also talking about pricing Lumia more aggressively or Windows more aggressively going forward, which isn't necessarily associated with gross margin expansion. So what's in the pipeline that gets that gross margin up or allows you to get -- achieve some soft premium pricing and profitability?
Stephen A. Elop: Yes, thanks, Kulbinder, for your question. The premise of your question, I think, is exactly correct. It is the case that we have to take gross margins higher, and that is indeed the direction overall in which we'll be heading. Now we're in a transition period right now when you ask essentially what's the catalyst? The catalyst becomes the next wave of Lumia devices and the next wave after that where you will see a consistent pattern of us pushing up in price point and gross margin driven through differentiation, which we can achieve more readily now with this cycle of Windows Phone than we could with the previous cycle. So you'll see that push up and drive gross margin in a positive direction, although gross margin can be offset to a certain extent to the extent that we also believe, for example, referencing China, that we need a healthy play at -- in the volume space at lower price points. But it is the case that our ambitions are to move that gross margin substantially higher.
Kulbinder Garcha - Crédit Suisse AG, Research Division: So Stephen, just on that point, I guess the concern that I'd have is that very rarely when someone has tried to establish a platform on Lumia like you have, it's very rare in this industry that we've seen them to actually take it up because you've set the pricing to the carrier -- or carrier or consumer or whoever at a certain level. So you guys think you can really break that dynamic then quickly. I guess what makes you feel -- or what can you do differently that the industry hasn't historically?
Timo Ihamuotila: Can I make a quick comment? Timo here. So basically, clearly you saw that we mentioned both excess and obsolescence. But we also mentioned inventory value-related write-downs. And when you clear that on the underlying dynamics here, you also have to recognize that we will be running some part of the product inventory at the moment for cash during the coming quarters because we have some product. And in that sense, kind of like if you make a totally one-on-one comparison that might not be exactly the same from the dynamics perspective. That's all I want to say. But of course, you are mentioning exactly the right thing. We have to aim for a higher gross margin on the subsequent Lumia products.
Stephen A. Elop: Yes. And how we do that and how we break through with that is we've obviously had more time to work with Microsoft in terms of the differentiating capabilities. So as you see the next wave and the wave after that of Lumia products, you'll see an increasing pattern of differentiation, unique capabilities, things that you may have seen in other platforms that we've done, that have been differentiating for us, landing in the Lumia products line. So we clearly have more opportunity and it's on that basis that we can go forward. In the existing round of Lumia devices, we've been somewhat restricted because we were late to the previous software product time cycle when we signed the deal. What you essentially saw is us adopting the standard chassis, the standard capabilities. And clearly, we've had more time to go beyond that as we go into future releases.
Operator: Your next question will come from Gareth Jenkins with UBS.
Gareth Jenkins - UBS Investment Bank, Research Division: A couple if I could. Just you very helpfully provided some steer on working down, I guess working capital within NSN. I wonder if you could give us the same color for Devices & Services business. So into H2, whether you feel you can sweat the asset base more and maybe some positive working capital into the second half of the year. Secondly, I just wondered if you could give us a sense on NSN, assuming that you get to your sustainable free cash flow or self-financing position, what your intention regarding NSN is? Is it to divest it, IPO it? What's the kind of thought process there? And then lastly, I guess more holistic question, quite clearly, 610 and 800 Lumia products have been ratcheting down; 700, 900 ramping up. And I just wondered whether you can -- or sorry, 610 and 900 ramping up. I just wondered whether you feel that the cycle times within the smartphones are shortening, which is going to put even more pressure on the high-end business?
Timo Ihamuotila: Okay. Thank you, Gareth. Maybe I'll start with the net working capital dynamics. And so I'll walk once more through very briefly Q2 and then how we see the dynamics going forward. So Q2 again, we had negatives on dividend. We had EUR 170 million loss adjusted to noncash items. We had EUR 230 million tax and finance and minus EUR 60 million net investment including CapEx. And then we had positive EUR 510 million on net working capital. And that EUR 510 million consisted, that EUR 400 million prepayment as well as EUR 360 million for restructuring purposes. As I said, those approximately netted out. And we then had EUR 470 million, kind of, call it, more normal net working capital improvement. Out of that, EUR 350 million was NSN and EUR 120 million Devices & Services and Location & Commerce. And if you look at the dynamics going forward, I would say that the good way to look at this would be that you look at our non-IFRS result as also a proxy for net working capital. We are, of course, working extremely hard to improve that situation on both NSN, as well as Devices & Services side. And then you need to add to that the financial cost tax net investment, as well as restructuring cash outflow.
Stephen A. Elop: And with regard to NSN, what we've been saying for the last several quarters is clearly we're focused on moving it successfully through the restructuring process, and we feel that part of what we announced today is a good step in that direction. But truly, it is the case that we're configuring it to be more independent. And the reason we're using the words more independent is because the full range of options is available to us. Depending on how the restructuring goes, the timing, the market conditions and a variety of other things, there's a full range of options available. We'll be considering all of that in due time. So that's why we're being relatively imprecise as to what that means. But clearly, more independence is in the cards for the organization.
Timo Ihamuotila: But the absolute focus regarding NSN continues to improve the operative performance in accordance with the current focused strategy on mobile broadband and related management services.
Stephen A. Elop: And then with respect to cycle time, the way I think about that is that the industry is getting to a pattern where there's certainly accelerated cycle times, the deeper you go into some of the price points are, as people are churning lower and lower cost of devices, looking for the tiniest price erosion opportunities and so forth. While at the same time, we aspire to establish certain premium or hero devices that have a longer cycle time associated with them, even although there may be routine improvements and so forth. As you get to the more premium devices, the expectation would be that you could go further with that. And then, of course, subsequent to that, as the next major hero or flagship device comes along, you might have an opportunity to take the previous one, move it down on price point and so forth. And this pattern, I think, in industry -- I'm not making just a statement about Nokia, but clearly our competitors here are on to this quite directly with what they've already been doing.
Operator: Your next question will come from the line of Mike Walkley with Canaccord Genuity.
T. Michael Walkley - Canaccord Genuity, Research Division: Stephen, you've had a mixed success with Lumia in different regions. As you go Windows 8 platform, what have you learned from the prior launches that might lead to a more successful Windows 8 launch? And also if you could just share with us your conversations with carriers and their appetite for Windows and their support for it longer term as a third ecosystem.
Stephen A. Elop: Great. Thanks for question, Mike. First of all, the learnings, a couple of things that I've spoken about but continue to be areas of importance. The first is absolutely on the retail experience. How do we help a retail sales associate in a store anywhere in the world confidently compare and contrast the opportunities between our obvious competitors and the Windows Phone line broadly and certainly the Lumia products specifically? That's an area where we have learned a lot about what works and doesn't work, about the amount of resource required to make it work and so forth. So that's really important. Now I'll tie this back to the announcements that we made in mid-June regarding our restructuring where in support of what I just described with retail and so forth, clearly what we believe is the pattern that we saw, for example, at AT&T is one where with heavy degree of focus saying, "Here is the device. Here is the operator. Here are the stores. This is what we're going after." That works far better than broadly going across Europe as we did when we initially launched the product. And so what we did on June 14 as part of our restructuring is announce how we were going to be increasingly focused on specific markets and specific operators. So as we go to market with our new products, there'll be more resources behind specific opportunities from which we subsequently build. So that's something that I think has been well learned and really important to us.
Operator: Your next question will come from the line of Francois Meunier with Morgan Stanley.
Francois Meunier - Morgan Stanley, Research Division: It's Francois Meunier from Morgan Stanley. Yes, actually a question about the cash. You had about EUR 4 billion at the end of Q2, and there is no guidance, actually, for the cash until the end of the year or for next year. Could you please tell us? Because you made a comment, I think, on the working cap that maybe there is not much juice left there, what would be the cash run rate or the cash burn run rate in the coming quarter. That's the first question. My second question is actually about sale in North America where apparently you've been selling only 600,000 units. Are they mostly Lumia? And maybe could you explain why this number is not higher given all the marketing spend you're doing in the U.S.?
Timo Ihamuotila: Okay. Thanks for the cash question. I definitely did not mean that we would not focus on working capital. And of course, we will focus on that. The comment I simply said that basically when you extract money from working capital, residual monies will naturally, at some point, become more difficult. But if you look at our cash situations, so we made good progress managing our cash in Q2, and we are not giving any cash guidance. We have done that only once in our -- in a special circumstance last year. So that's not our normal pattern. And we, of course, continue to focus on net working capital management to sustain progress. And we will also, as Stephen said as well, focus on looking if we have any noncore asset items which can we work further on, be it in real estate, be it in our IPR portfolio. We have an absolute focus on cash as we manage through the coming quarters. What I said was that when you look at the equation, a sort of proxy has traditionally been in this business in Devices & Services that taking out quarterly swings, the non-IFRS operating profit has been fairly good proxy for net working capital development as well. But of course, we are working very hard to find improvements there still going forward.
Stephen A. Elop: And just on the question of the U.S. numbers, what you really see there is if you think back to launch pattern in Q1, the launch cycle is focused on the 710, a lower-priced device moving through generally at lower prices with T-Mobile U.S. That was one launch pattern subsequently followed by the launch pattern in Q2 of AT&T. So what you saw was essentially a shift in emphasis from the 710, the Lumia 710, in Q1 to the Lumia 900 in Q2. Now moving similar numbers of units in one quarter versus the other quarter is one thing. But actually, what you see in support of this is increased sales, actually, in North America. And that's the pattern that we're seeing there. And if I may, I'm just going to go back to Mike from Canaccord Genuity, asked a second question that I neglected to respond to, and that related to operator support for the third ecosystem. And that continues to be a very strong part of the conversation with operators all over the world. You've seen, I think, a number of operators' CEOs, particularly in the U.S., for example, coming out quite strongly, making comments about the importance of this. And that's something that we're certainly going to be focused on and taking advantage of as we go forward.
Operator: Your next question will come from the line of Tavis McCourt with Raymond James.
Tavis C. McCourt - Raymond James & Associates, Inc., Research Division: My question is on the operating costs and the goals of where you want to be in Devices & Services exiting fiscal '13. You're obviously well above that now. I'm wondering, now that we're within 6 quarters, can you talk about a little bit of a timing of that transition? When do we start seeing a bigger step-down in the quarterly run rate of OpEx?
Timo Ihamuotila: So as I said, we have established a very thorough and rigid turnaround program where all the organizations are presenting their OpEx plans. And we are asking the organizations to come up with plans that we will take cost out clearly faster that was planned in our previous restructuring program. And we are expecting that to come through in the OpEx dynamics. So we recognize the need to take cost out fast, and we are confident that we have a solid plan to reach those targets by the end of 2013.
Tavis C. McCourt - Raymond James & Associates, Inc., Research Division: And in terms of your lower-end Windows Phone ambitions, Steve, is that with Windows 8? Or is that kind of the plan with the Windows Phone 7 platform, to kind of move that lower end?
Stephen A. Elop: So both are possibilities, and you can anticipate elements of both as we go forward.
Operator: Our final question will come from the line of Mark Sue with RBC.
Mark Sue - RBC Capital Markets, LLC, Research Division: Steve, when you agreed to work with Microsoft, it sounded like a very close and mutual relationship. Yet it now seems they keep doing things without letting you know, leading you to react tactically. Steve Ballmer even said that Nokia is only a part of their overall path to market. So if Microsoft is pursuing a third ecosystem but not necessarily a third manufacturer, does Nokia get behind -- left behind? And how do you kind of get to a preferred status with Microsoft that you can shape your own destiny and direction and not react with further restructuring?
Stephen A. Elop: So let me make the general statement that we have established a preferred position in our relationship with Microsoft. It's something we've established both the partnership level but also contractually as well. So we have very clear rights and capabilities within the nature of our relationship with Microsoft to maintain that preferred status. It is the case right from the beginning that we have ourselves been encouraging of other manufacturers participating in the Windows Phone ecosystem because at this point in time, it is the case that we need as much energy, as much investment, as much hardware work, any of those things to advance the Windows Phone ecosystem because of the ferocity of the competition with Android and with Apple. So I think that's really important. In terms of being surprised by Microsoft and so forth, as it relates to Windows Phone 8 and Windows Phone 7.8, we were on stage with them for that announcement to reinforce the good work that's being done for the existing Lumia devices in support of that. So as it relates to our business and comment on the things that we're partnering on, it's a very close, very communicative relationship that continues going forward. Now as it relates to shaping our own destiny, we have substantial ability to shape what we're doing, what devices, what incremental software we build in and around Windows Phone, as well as other platforms, including our Mobile Phones platform, including our location-based assets and so forth. I think one of the things I like highlighting about the overall structure of how we're working with Microsoft is, indeed, we have a very important relationship, and indeed, dependency on them as it relates to Windows Phone. But of course, they have a balancing relationship and dependency on us as it relates to the location-based assets. That's an important dynamic in the relationship to ensure that it remains healthy, that we communicate broadly and that we're working together every day.
Mark Sue - RBC Capital Markets, LLC, Research Division: So do you think the flagship platform for Windows 8 will be that the -- will that be the launch of flagship?
Stephen A. Elop: I'm sorry, I walked over you there. If you could repeat the question.
Mark Sue - RBC Capital Markets, LLC, Research Division: Sure, Steve. Will Nokia be the first and flagship platform for Windows 8?
Stephen A. Elop: So we're not making any specific announcements about announced timing or how that happens. But one of the things -- just to give a signal in this direction, on a number of occasions, Windows Phone 8 has been demonstrated. It's been demonstrated on Nokia hardware. We're working with them every single day on the initial hardware platforms and everything. So clearly, we have a very close relationship that is not the same as what anyone else has at this point. So the relationships are good there. So just to close, overall in the call, what I'd like to say clearly is that through this period of transition, we're demonstrating our determination, our determination to carefully manage our financial resources, to improve our operating model, to improve the results at NSN and to improve our competitiveness. So I'd like to thank you all for your good questions and for your ongoing support. We look forward to talking with you soon.
Matt Shimao: Ladies and gentlemen, this concludes our conference call. I would like to remind you that during the conference call today, they have made a number of forward-looking statements that involve risks and uncertainties. Actual results may therefore differ materially from the results currently expected. Factors that could cause such differences can be both external such as general economic and industry conditions, as well as internal operating factors. We have identified these in more detail on Pages 13 through 47 of our 2011 20-F and in our quarterly results press release issued today. Thank you.
Operator: Ladies and gentlemen, this does conclude today's conference. Thank you all for joining, and you may now disconnect.